Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2023 Ducommun’s Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Ducommun’s Senior Vice President, Chief Financial Officer, Controller and Treasurer, Suman Mookerji. Please go ahead.
Suman Mookerji: Thank you and welcome to Ducommun’s 2023 second quarter conference call. With me today is Steve Oswald, Chairman, President and Chief Executive Officer. I am going to discuss certain limitations to any forward-looking statements regarding future events, projections or performance that we may make during the prepared remarks or the Q&A Session that follows. Certain statements today that are not historical facts, including any statements as to future market conditions, results of operations and financial projections are forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are therefore, prospective. These forward-looking statements are subject to risks, uncertainties and other factors, which could cause actual results to differ materially from the future results expressed or implied by such forward-looking statements. Although we believe that the expectations reflected in our forward-looking statements are reasonable, we can give no assurance that such expectations will prove to have been correct. In addition, estimates of future operating results are based on the company’s current business, which is subject to change. Particular risks facing Ducommun include, among others, the cyclicality of our end-use markets, the level of U.S. government defense spending, timing of orders from our customers, legal and regulatory risks, the cost of expansion and acquisitions, competition, economic and geopolitical developments including supply chain issues and rising interest rate, pandemics and disasters, natural or otherwise. These risks and others are described in our annual report on Form 10-K filed with the SEC and our forward-looking statements are subject to those risks. Statements made during this call are only as of the time made and we do not intend to update any statements made in this presentation, except if and required by regulatory authorities. This call also includes non-GAAP financial measures. Please refer to our filings with the SEC for a reconciliation of the GAAP and non-GAAP measures referenced on this call. We filed our Q2 2023 quarterly report on Form-10Q with the SEC today. I would now like to turn the call over to Steve Oswald for a review the operating results. Steve?
Steve Oswald: Okay. Thanks, Suman. And thanks everyone for joining us today for our second quarter conference call. Today as usual, I will give an update on the current situation at the company. Afterwards, Suman will review our financials in detail. Before I begin discussing our Q2 results, I did want to follow up on our press release and mention that we completed the BLR acquisition at the end of April for an initial purchase price of $115 million net of cash acquired. This is a very positive step forward for the company, as we continue to build both our electronic and structural product portfolios with more Engineered Products and Aftermarket revenue, a strategic long-term goal. In addition, the whole pay for a portion of the BLR acquisition, in May, we completed a public stock offering resulting in net proceeds of over $85 million and used those proceeds to pay down the revolver that was utilized for the acquisition. We are thrilled with the BRL acquisition. I want to publicly welcome Mike Carpenter, the President and his team and they are off to a very good start. Now turning to the quarterly results. Q2 was an excellent quarter as we grew our top line both year-over-year and sequentially, delivering year-over-year revenue growth of 8% reaching $187.3 million. As mentioned in the press release, narrow-body aircraft was once again the catalyst in driving overall revenue growth and another positive sign that recovery is in good shape and will only get better and better. Turning to the markets, the continued recovery in Commercial Aerospace once again delivered in Q2 with Boeing 737 MAX business up almost 60% year-over-year and the Airbus A220 also having significant growth, up almost 90% year-over-year. Overall Commercial Aerospace with Airbus and Boeing and others was up 37% from Q2 2022. Ducommun’s Commercial Aerospace business has now showed year-over-year revenue growth for the eighth consecutive quarter, an excellent sign as the industry and build rates recover. The company’s defense business was down year-over-year in Q2, mainly due to timing of programs such as the F-18 and continued softness at GA for UAVs, among others. But once again, we delivered solid performance of $96 million in revenue for the quarter. Company posted improved gross margins of 21.4%, up 150 basis points year-over-year from 19.9% as we work through our restructuring activities and benefit from higher volume. The team also delivered adjusted operating income margins of 8.1% and adjusted EBITDA was $26.1 million, an increase of $2 million year-over-year. Ducommun’s adjusted EBITDA margins of 13.9% in Q2, was up as well. And we anticipate adjusted EBITDA to be solid this year with stronger numbers in 2024 once the plant closures, restructuring activities this year are completed. The quality of earnings when factoring the effects of the BLR acquisition were good with GAAP diluted EPS of $0.17 a share versus $0.34 a share for Q2 2022. But with adjustments, diluted EPS was $0.54 a share compared to diluted EPS of $0.76 a share in the prior year. Some key drivers for the lower GAAP diluted EPS include higher interest expense due to debt incurred related to the BLR acquisition, higher restructuring charges, higher requirements and other fire-related expenses and BLR acquisition-related expenses. Switching to the total company’s backlog performance, I am very pleased to report the company achieved a major milestone this quarter, reaching $1 billion in backlog for the first time ever. Defense backlog contributed greatly in the quarter by increasing $50 million sequentially, from $444 million at the end of Q1 2023 to $494 million at the end of Q2 2023, an increase of over 11%. This was led by military rotary-wing platforms such as the Seahawk and Blackhawk and other military and space platforms. We’re very pleased with this and it is in line with my past comments that the overall DCO defense business is in very good shape with more positive news to come. In addition, the Commercial Aerospace backlog increased sequentially for the ninth consecutive quarter from $266 million at the end of Q1 2021 to $465 million at the end of Q2 2023, an increase of over 74% during that time. This was led by the 737 MAX, Viasat for in-flight entertainment, the A220, A320 and Gulfstream, all which we would expect after a slower than expected recovery in 2022. The other excellent news out of the quarter was the overall book-to-bill ratio for the company was 1.3. For offloading for defense primes, the work continues. We’re expecting roughly $90 million for the full year as committed to, mainly in our circuit card business for Raytheon. As communicated, the long-term run rate of these defense programs already commercialized or in development for offloading will be over $125 million for the common by 2025 once the transition work is completed. In Q2, our team delivered another excellent quarter as well, managing the supply chain. And this is not only showing up in our financials, but also we cannot be in a better place with our customers regarding on-time delivery and quality, which shows loud and clear in our $1 billion-plus backlog. For revenue guidance in 2023, I’m happy to reaffirm our expectations that it should be in the mid- to high-single-digits for 2023. The recovery for Commercial Aerospace will continue to lead the way for the rest of the year as we see more and more volume return, along with defense being solid as well. The expected completion of the 2 planned closings by the end of this year will also have some limited headwinds, but we feel confident in our guidance. Now let me provide some additional color on our markets, products and programs. Beginning with our military and space sector, we posted second quarter revenue of $95.9 million, a decrease versus Q2 2022. Despite being down as mentioned earlier was a solid showing for the business in Q2. We still saw increases in demand for the MIRV missile, Apache F-35 and various other military and space platforms. The second quarter military and space revenue represented 51% of the Ducommun’s revenue in the period, down from 61% last year. And this trend will continue to reflect more balance with Commercial Aerospace, which we like. We also ended the second quarter with a much improved backlog of $494 million, a significant increase of over 11% sequentially and reverses a five-quarter downward trend. And this represents 49% of the Ducommun’s total backlog. Within our Commercial Aerospace operations, second quarter revenue increased 37% year-over-year to $78.2 million, driven mainly by bill rate increases on large aircraft platforms and other Commercial Aerospace platforms as well. Ducommun expects this continued improvement in the Commercial Aerospace to gain momentum in the second half of 2023. The future is bright across our product offerings. Our delivery and quality also continue to stand out as we move ahead. The backlog within our Commercial Aerospace sector stands at $465 million at the end of the second quarter and was up $46 million than Q2 2022. With that, I’ll ask Suman to review our financial results in detail. Suman?
Suman Mookerji: Thank you, Steve. As a reminder, please see the company’s Q2 10-Q and Q2 earnings release for a further description of information mentioned on today’s call. As Steve discussed, our second quarter results reflect another period of strong performance. Once again, we saw a significant increase in our Commercial Aerospace revenues. We remain encouraged by the continued strength in domestic and global travel, which would support higher long-term demand for aircraft and are also encouraged by the build rate outlook from our key customers that should drive continued growth in our shipments. During the quarter, we also continued to make progress on our restructuring program and as Steve mentioned, we announced the completion of the acquisition of BLR Aerospace and subsequently completed a public stock offering to help pay a portion of the BLR acquisition, which I will discuss in further detail later. With all this, we feel like we have laid a strong foundation for the second half of the year. Now turning to our second quarter results. Revenue for the second quarter of 2023 was $187.3 million versus $174.2 million for the second quarter of 2022. This year-over-year increase reflects $21.2 million of growth across our Commercial Aerospace platform, partially offset by $10.8 million of lower revenue within the military and space sector. Ducommun’s overall backlog at the end of the second quarter hit an all-time record of $1.01 billion, exceeding the billion dollar mark for the first time in the company’s history. This was a growth of almost $50 million over our backlog at the end of Q1 of this year and was driven by the growth in backlog for our defense business. As a reminder, we define backlog as potential revenue based on customer purchase orders and long-term agreements with some fixed prices and expected delivery dates of 24 months or less. We posted total gross profit of $40.1 million or 21.4% of revenue for the quarter versus $34.6 million, or 19.9% of revenue in the prior year period. We continue to share adjusted gross margins as we have certain non-GAAP cost of sales items relating to the impact of the Guaymas fire on our operations as well as inventory step-up amortization on our recent acquisition of BLR Aerospace. On an adjusted basis, our gross margins were 23.1% in Q2 2023 versus 21.1% in Q2 2022. This improvement in gross margin was driven by favorable product mix, better pricing and improved scale in our Commercial Aerospace business. We continue to work through a difficult operating environment with supply chain and labor. However, through our proactive efforts, including strategic buys and our inventory investments, we have been able to avoid any significant impacts on the business. Ducommun reported operating income for the second quarter of $5 million, or 2.7% of revenue, compared to $7.8 million, or 4.5% of revenue in the prior year period. Adjusted operating income was $15.2 million, or 8.1% of revenue this quarter, compared to $14.2 million or 8.2% of revenue in the comparable period last year. The company reported net income for the second quarter of 2023 of $2.4 million or $0.17 per diluted share compared to net income of $4.1 million or $0.34 per diluted share a year ago. On an adjusted basis, the company reported net income of $7.3 million or $0.54 per diluted share compared to net income of $9.3 million or $0.76 in Q2 2022. The lower net income relative to operating income was driven mainly by higher interest costs during the period. Adjusted EBITDA for the second quarter of 2023 was $26.1 million or 13.9% of revenue compared to $24.1 million or 13.8% of revenue for the comparable period in 2022. Now, let me turn to our segment results. Our Structural Systems segment posted revenue of $80.2 million in the second quarter of 2023 versus $64.5 million last year. The year-over-year increase reflects $18.1 million of higher sales across our Commercial Aerospace applications, partially offset by $2.4 million of lower revenue within the military and space markets. Structural Systems’ operating income for the quarter was $5.4 million or 6.7% of revenue, compared to $1.3 million or 2% of revenue last year. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 16% in Q2 2023 versus 9.4% in Q2 2022. This significant year-over-year improvement was driven by favorable product mix, better pricing and higher manufacturing volume or scale in the business as our Commercial Aerospace businesses continued to grow. This has been a great quarter for our Structural Systems segment. Our Electronic Systems segment posted revenue of $107.1 million in the second quarter of 2023 versus $109.7 million in the prior year period. These results reflect $8.4 million of lower revenue across the company’s military and space customers, partially offset by $3.1 million of higher Commercial Aerospace revenue. Electronic Systems’ operating income for the second quarter was $9.5 million or 8.9% of revenue versus $13.6 million or 12.4% of revenue in the prior year period. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 11.4% in Q2 2023 versus 13.9% in Q2 2022. The lower operating income as a percentage of revenue was primarily due to unfavorable product mix and unfavorable manufacturing volume. Moving next to our restructuring update, as a reminder and as discussed previously, we commenced a restructuring initiative back in Q2 2022. These actions are being taken to accelerate the achievement of our strategic goals and to better position the company for stronger performance in the short- and long-term. This includes the shutdown of our facilities in Monrovia, California, and Berryville, Arkansas, and transfer a majority of that work to our low-cost operation in Guaymas, Mexico, with the remainder going to other existing performance centers in the United States. We continue to make progress on these transitions, both with employee retention and engagement and also working with our customers to get requisite approvals. During Q2 2023, we recorded $4.8 million in restructuring charges. The majority of these charges were severance and benefits-related. We expect to incur an additional $5 million to $8 million in restructuring expenses during the rest of 2023. Upon completion of our restructuring program, we expect to generate $11 million to $13 million in annual savings from our actions. Once we wind down production at Monrovia and Berryville, we anticipate selling the associated land and buildings at both locations. Turning next to liquidity and capital resources, we have available liquidity of $189 million as of the end of the second quarter. We generated $9.2 million in cash flow from operating activities during the quarter as we continue to manage our working capital needs. In April, we completed the acquisition of BLR Aerospace for an initial purchase price of $115 million net of cash acquired. We utilized our revolving credit facility to complete the acquisition. In May, we completed a follow-on stock offering issuing 2.3 million shares of our common stock with net proceeds of $85.1 million, which we used to pay-down our revolving credit facility. This allowed us to end the quarter with a debt-to-adjusted LTM EBITDA of 2.7x, which is amongst the lowest in the last several years. While our debt refinancing during 2022 was timely and beneficial, the rising interest rate environment along with the debt incurred from the BLR acquisition drove the increase in interest cost to $5.7 million in the quarter versus $2.7 million in Q2 2022. In November 2021, we put in an interest rate hedge for $150 million, which goes into effect in January 2024 and will help our interest costs for next year. To conclude the financial review, we are in a good place as we reach the halfway point in 2023. And with the BLR acquisition and public stock offering now completed in Q2 and the expected completion of the restructuring program by the end of this year, there is much to look forward to in the second half of 2023 and beyond. I will now turn it back over to Steve for his closing remarks. Steve?
Steve Oswald: Okay. Suman, thank you. In closing, look, Q2 was obviously a very important quarter for our company and shareholders. BLR acquisition is off to a good start. Public stock offering was a success. Commercial aerospace continues higher and higher and defense orders in the quarter were very impressive. I also want to mention the margin expansion in Q2, which shows our strategy presented in December 2022 is working and we will continue to generate shareholder value as we move towards our long-term goals in 2027. My continued thanks as well to our employees, investors and all of the stakeholders for your continued support as you build momentum for a strong second half of 2023 and the years ahead. With that, let’s go to questions. Thank you.
Operator: [Operator Instructions] The first question comes from Ken Herbert with RBC Capital Markets. Your line is open.
Ken Herbert: Yes. Hey, good morning Suman and Steve.
Steve Oswald: Ken, good morning. Thanks for joining.
Suman Mookerji: Good morning.
Ken Herbert: Yes. Hey. Steve, maybe just to start off, you have had several quarters now of down defense sales, but obviously some really nice bookings momentum. Do we maybe start to see defense sales inflect positively here in the third quarter? And how should we think about sort of the second half for the defense business in terms of top line?
Steve Oswald: Yes. I guess a couple of things. First, we are very happy with the bookings in Q2, right, so that’s a big positive for Ducommun and for our team there. I think if you look at going forward here, we are going to still moderate at least through the end of the year, but we certainly feel much better about 2024. I will tell you that just if you look at sort of what happened in Q2, I mean a big part of that was GA and UAVs. I mean again, when I have talked in the past on these calls, a lot of it is just timing of orders, and they just are not getting the orders this year. And that was a big takeaway as well as there is a little bit of Patriot and a few others. So, these are again just things that are happening in the market, but again I feel very good about our defense business. We have this offloading that’s coming. I mentioned in my remarks last quarter that these massive moves from internal manufacturing at Raytheon to our facilities, okay, include not only machines and everything, that’s called inventory. So, there is a lot of things here that are going to pick up on our revenue side once we start buying all the material versus having it funded from the customer. So, I think some good things ahead, Ken.
Ken Herbert: That’s great. And on your comment on offloading, I mean there is just a lot going on within defense markets today. Do you – are you seeing incremental opportunities? I mean part of the narrative has been the ability to take the success with Raytheon and expand it to other defense customers. You have maintained the targets on offloading which I think are great and ambitious, but are you starting to get a sense that maybe there could be some upside to the offloading opportunities?
Steve Oswald: We absolutely do. I mean look, we are obviously working, especially with companies like Northrop and others, where we had a good start with GA, had a great start with Raytheon. We are looking at the other defense primes working with Northrop. And one of the best things for us is our performance, because talking to defense prime CEOs, they will not move work out of their facilities unless they can trust the supplier. And we all know that and it all makes sense. So, that’s one of the things we are getting [ph] in this game because of our performance.
Ken Herbert: Great. And if I could just finally, as I take your comments and I think about margins in electronic systems, it sounds like maybe a little bit more of a muted second half and should we think about sort of a second quarter run rate as a good margin assumption for that segment, just considering timing around the defense sales?
Steve Oswald: Yes, let me – I will throw – why don’t you comment on that, Suman?
Suman Mookerji: That’s right. No, I think you are on the point that it is – we will probably see a similar trend, but with improvement ahead, especially as we complete the restructuring program by the end of the year, we should start seeing an uptick in those marginal projects.
Ken Herbert: Great. Alright. Thanks guys.
Steve Oswald: Thanks Ken. Appreciate it.
Operator: Please standby for the next question. Our next question comes from Jason Gursky with Citi. Your line is open.
Jason Gursky: Hey, good morning everyone.
Steve Oswald: Jason, good morning. So, you are speaking a little bit, volume is down.
Jason Gursky: I am in downstairs. How is that?
Steve Oswald: Better, yes. Perfect. Thanks.
Jason Gursky: Okay. Great. Sorry about that. So, speaking with Ken’s line of questioning on the pipeline and the amount of business that’s out in front of you, appreciate the comments on the defense side. Can you talk on the commercial side? I know you have talked over the last quarter or two quarters about some of the success that you have had with Spirit in particular. So, I am just kind of curious to get an update from your perspective on the outlook for the pipeline on the commercial side?
Steve Oswald: Yes. So, we certainly – we are very upbeat about it. I mean it’s not only the rates, which we all know are going up and we are on all these programs for the most part that are all going to really sort of hit it hard in ‘24 and ‘25, but we are also gaining a share on the programs, okay. So, we are not just standing still here. So, for instance, the skins that I talked about for the MAX, okay, right now we have been public about 175,000 per shift set for the 737 MAX. And we think in the next 12 months-plus, I mean we are going to be at 195,000, maybe pushing 200,000. So, that’s a little bit further out, but we feel good about not only the rates, but the program share. And one of that is the skins. And that’s going to happen. We are right now in the middle of tooling and everything [Technical Difficulty] January and February we are looking to start shipping to Spirit for skins for their MAX production.
Jason Gursky: Okay, great. And then on the restructuring side of things, as you look out, based on some of the bookings that you have had here of late, are you still thinking that the restructuring cost savings that you are going to see, as you wrap things up here are going to accrue 100% to you all, or are we beginning to see some of that kind of leak out and return to customers?
Suman Mookerji: So, we feel – we continue to feel good about the savings range that we have talked about of $11 million to $13 million. We are in ongoing discussions with each of the customers where we need approvals to work through that transition. And there is no reason to believe that we would come in at this point anywhere less than that range that we have committed to.
Steve Oswald: Yes. We don’t see a lot of leakage. I mean we are – for instance, just Monrovia for instance, there is only two major programs we have to move. And one we have already sort of locked up with Boeing Mesa for the back-weighted Apache. And the other one we are working on right now for the spoilers going down to Mexico. So, the nice thing about these moves are there is not a lot of complexity. So, we feel good about that. As far as leakage to customers, we are not planning on that.
Jason Gursky: Okay. Great. And then last one for me, as you look at that $1 billion backlog that you have got now, what does the mix of that look like from a margin perspective? I know we will bake in this $11 million to $13 million of savings. But as you execute on that backlog itself, is it going to be margin-accretive backlog based on what you are seeing today?
Suman Mookerji: So, the short answer is, yes. And it’s going to be supported by growing operating leverage in some businesses. It’s going to be supported by better pricing and it’s going to be supported by cost efficiencies through the restructuring. All three of those is going to result in margin enhancement in 2024 and beyond. So yes, we do expect that backlog as it flows through into revenue to start coming in at higher and higher margins over the next several quarters.
Steve Oswald: And I think that’s fair.
Jason Gursky: Great. Thank you, gentlemen.
Steve Oswald: Okay. I just want to take a moment here, I just want to welcome you on the Citi team, okay, to our Ducommun call. We very much appreciate your support.
Operator: Please standby for the next question. Our next question comes from Mike Crawford with B. Riley Securities. Your line is open.
Mike Crawford: Thank you. You cited, Steve, strength in military rotary-wing platforms, in particular, Seahawk, Blackhawk. How much of that is due to BLR?
Steve Oswald: Mike, none of it.
Suman Mookerji: None of it.
Steve Oswald: None of it. It’s all organic, mostly coming out of the New York facility, Coxsackie, but yes, we just – things are starting to move in that area, so we have benefited quite a bit in Q2 for that.
Mike Crawford: Excellent. And then, on the other side of that coin was you talked about unfavorable mix and margin in electronic systems. And what was unfavorable about the mix?
Suman Mookerji: So yes, I mean there were some performance centers which are suboptimal, right, including, we are shutting down Berryville and that facility is clearly not operating. There are one or two other programs where pricing was currently not favorable under the existing contract that we are producing to, but we know that kind of the next contract is going to be at a different pricing and so margins will get better. So, there has been a mix of a few things which has resulted in the lower margin, but we expect those things to resolve over the coming quarters and it isn’t a long-term change by any means in the margin profile of the business.
Steve Oswald: Yes.
Mike Crawford: Excellent. And do you think, like, if you look out several years from now that the one segment, the Structural Systems segment will continue to have a higher EBITDA margin than the EFC, or do you think they will come together?
Steve Oswald: Well, we certainly hope for both. But I will tell you that we are – whether it’s structural or electronic, we are doing the same type of operating principles. We are driving the business. We are making sure we are getting pricing for our work. We think that they are going to come – still grow and come together nicely. So, I would say both.
Mike Crawford: Okay. Thanks Steve. And then last question is, given the location of the Monrovia plant, it looks like it’s in an area where it might not be highest and best-used to try to have a new buyer come in and continue to operate that as an industrial plant and perhaps a buyer might come in and convert it to a mixed use. And I am just wondering what ranges of values you are seeing for either similar properties in that area or that property in particular?
Steve Oswald: Well, you are right about that. Monrovia facility is in kind of a neighborhood, if you look at some legacy building, but it’s still nine acres of land, so it’s a big piece of property. Mike, we just don’t know yet. We are committed to our shareholders. We are in the next month or two months actively going to market it and we will see where things go. So, no other report for that other than its movement.
Mike Crawford: Okay. Thank you very much.
Operator: Please standby for the next question. Our next question comes from Michael Ciarmoli with Truist. Your line is open.
Michael Ciarmoli: Hi. Good afternoon guys. Thanks for taking the questions here. Steve or Suman, just on the structural systems margins, I mean really stood out here, post-COVID high and I think maybe an all-time high. How do we think about these margins going forward, especially with the commercial aerospace volumes continuing to ramp? I mean is this sort of level – I don’t want to put it out there as a new floor, but you are going to get the restructuring benefits as well. So, how do we think about structural going forward here as you continue to see rate increases on some of the commercial aero programs?
Suman Mookerji: So I mean, I would say that the margins that we have seen in this business, certainly driven by improving product mix, but also as the businesses have scaled, I don’t know whether they are exposed to commercial aerospace and rates have come back compared to last year, we have seen improvement in margin. But we are also seeing pricing actions which we expect will stick across our commercial aerospace structures business and also in our engineered products businesses. So, the margin trajectory to some extent is also influenced by where the engineered products have fit in between our Structures and Electronics segments. And we do have today a fair bit of the – a number of the acquisitions we have done in the past few years that fit into that Structures segment. So, that helps a little bit too.
Steve Oswald: So Mike, I have just – I am glad you brought it up, because this morning I was reflecting on my – one of the first calls I had with 2017 and the operating margin was 4% of structures. So, I am happy to see that number. I know it’s been 7 years and COVID and other things, but I feel good about the number, will probably moderate a little bit, but that’s where we are heading. I mean it’s only going to get better.
Michael Ciarmoli: Got it. And was there anything unusual in this quarter? And it sounds like, Suman, you are saying maybe there is a little bit more of the proprietary aftermarket-type products that I am assuming carry higher margins flowing through this unit and that that should probably be fairly consistent going forward as well?
Suman Mookerji: Right. I mean there are always – we try not to give guidance by a quarter, right, on margins. But yes, there are always things that move in and out, but anything that was unusual was – that we don’t expect would recur is marginal. I think most of it is solid, yes.
Steve Oswald: And Mike, it really just – I think it just sort of supports our strategy, right, where in these products and it’s just – it’s goodness for the whole P&L.
Michael Ciarmoli: Got it. And then where are you right now on current production rates for the MAX, for the 787, some of the other needle-moving programs?
Steve Oswald: I tell you, this number is fine all over the place. I would say that the 787 were probably three or four. So, I think that’s I can stand on solid ground and tell you that. I would say the MAX, there is numbers from Spirit, there are numbers from Boeing, there is destocking. I mean we are probably high-20s right now if I am being generous from our perspective. So, we are looking for these numbers, we are hearing, but we are not seeing 30s yet. That’s what I would say, Mike.
Michael Ciarmoli: Okay. Got it. That’s helpful. And then just the last one, any other – I mean the bookings too, I mean you were – obviously been talking about the bookings to backlog. Anything else, I mean, that was also – I think the bookings number might have been a record as well. But any other color, I mean is there offloading in that number or anything to speak of the bookings, any new market share gains or wins that you could talk to?
Steve Oswald: Yes. I mean look, I am thrilled with the bookings, right. So, it’s again, a long journey. It is our all-time high. We – as I have talked about these timing of these defense orders are a little tricky. So, we had some really heavy orders come in, in Q2 for things that we have been waiting on or working on such as the Seahawk and other things up in our New York facility. And just continued strong even though we didn’t – sequentially didn’t go much on commercial aero, that’s just going to continue to build as well. So, overall we are very upbeat.
Michael Ciarmoli: Okay. Thanks guys. I will jump back in the queue.
Operator: [Operator Instructions] And it comes from Kim Herbert with RBC Capital Markets. Your line is open.
Ken Herbert: Hey Steve. Appreciate the opportunity with the follow-up. I wanted just to dig into that a little bit more. The backlog within commercial aerospace was pretty much flat sequentially from the first quarter to the second quarter. There has certainly been a fair amount of disruption and distraction at Spirit over the last month or two months. Is there anything – are you seeing maybe any slowdown in any pull from your customer as we think about the backlog on commercial in particular? And how do we think about maybe the movement on the MAX in particular into the second half of the year?
Steve Oswald: Yes. It’s a good question. I think a little bit of Q2 was a little bit of taking a breather after a pretty strong run. I think that the Spirit disruption certainly didn’t help things. I do from everything I read and talking to Tom and Spirit and other folks, all this increase is going to happen, so I think that’s going to be a positive catalyst for DCO in the second half, especially in 2024. But it wasn’t a – as far as the headline numbers, I think that it was sort of a, how can you say it, just a little bit of a stalemate Q2 on bookings, just for lots of reasons, but I don’t think they are all – I think they are all transitory.
Ken Herbert: Okay. Great. And with BLR now closed, maybe I don’t – I am not sure how specific you can be here, but as we think about the commercial portfolio, how would you think about that business from an original equipment versus aftermarket standpoint? Is that – can you give any granularity on that within commercial?
Suman Mookerji: For BLR specifically, a large percentage, more than a majority of that business is aftermarket.
Steve Oswald: Yes.
Ken Herbert: Okay. I know. I was asking now that BLR is in the portfolio, how do we think about total aerospace, total commercial aerospace in terms of OE versus aftermarket mix?
Suman Mookerji: Okay. So, I mean we were – at the end of last year, we were at 10% and we are looking to go to 15% by 2027. I would say, BLR, given that a large percentage of it is aftermarket. We have made significant strides already towards that 500 basis point increase. I would say we are well on our way on that front. So, I mean beyond that we haven’t really broken out aftermarket and OEM and we don’t report that on a quarterly or even annual basis. But there is a material improvement in that aftermarket.
Steve Oswald: Yes, it’s certainly going to – it’s a shot in the arm for us as we go on this journey now for the next 5 years to get the 15%-plus on aftermarket. It’s important to us and investors.
Ken Herbert: Perfect. Okay. Thank you, guys.
Steve Oswald: Thanks Ken.
Operator: At this time, there is no further questions. I would now like to turn the call back to Steve Oswald for closing remarks.
Steve Oswald: Okay. Thank you very much. Just want to just extend my thanks again for the support to all our folks calling in today. Certainly have new investors with our product, with our stock offering, so I want to absolutely welcome them as well. I feel very good about where we are. I thought Q2 was a very good print for the company, certainly bodes well for the second half of the year. I have said on my remarks earlier on the questions that I am very upbeat and I look forward to speaking again after Q3. So, thank you again.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.